Operator: Ladies and gentlemen, thank you for standing-by and welcome to the SEI First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to our host Mr. Al West, Chairman and CEO. Please go ahead.
Al West: Thank you and welcome, everybody. All of our segment leaders are on the call, as well as Dennis McGonigle, SEI's CFO; and Kathy Heilig, SEI's Controller. And I’ll start by recapping the first quarter 2015. I'll then turn it over to Dennis to cover LSV and the investment in new business segment. After that, each of the business segment leaders will comment on the results of their segments. And then finally, Kathy Heilig will provide you with some important company-wide statistics. Now as usual, we'll fill questions at the end of each report. So let me start with the first quarter of 2015. First quarter earnings increased by 13% from a year ago. Diluted earnings per share for the first quarter of $0.50 represents a 16% increase from the $0.43 reported for the first quarter of 2015. We also reported an 8% increase in revenue from first quarter 2014 to 2015. And in addition during the first quarter 2015, our non-cash asset balances under management increased by $5.4 billion. And SEI’s assets grew by $3.9 billion and LSV's assets grew by $1.5 billion. Finally, during the first quarter of 2015 we repurchased 1.5 million shares of SEI’s stock at an average price of just over $43 per share. That translates to over $65 million of stock repurchases during the quarter. Now turning to sales, our net new recurring revenue sales during the quarter was strong. Of the 31 million of net new sales events we generated nearly 24 million are recurring revenues. Each of the segment heads will address their first quarter sales activity. And as you know, we are continuing our investment in SWP and its operational infrastructure. During the first quarter, we capitalized approximately $7.3 million of the SEI Wealth Platform development and amortized approximately $10.3 million of previously capitalized development. And our development agenda for SWP remains the same, to deliver functionality important to the large and medium sized advisors and banks in the U.S. and UK markets, as well as to further automate our operations. While, as we have previously discussed we are facing long sales cycles with jumbo banks. We have made significant progress with a few jumbo prospects, and overall market activity continues to expand. Plus, we are making progress in developing the necessary functionality for jumbos. While we are executing the sales process with some large potential clients, we have increased our attention on asset management distribution opportunities and improving profitability in the Private Banking segment. Signs of this focus are evident in the last few quarterly results for Banking. In the Advisors segment, we have made solid progress in improving our asset gathering as well as in preparing for the rollout of the SWP to the U.S. market. In the Institutional segment, our strong sales and profits throughout the world are living proof of the strong market adoption of our differentiated fiduciary management solutions. Finally, our Investment Management Services segment continues to have success in both selling and implementing new business while differentiating our solutions. They are making progress selling to larger prospects and increasing the business we do with existing clients. So behind all of our business units, I am encouraged by the feedback I receive from clients and prospects across our Company’s target markets. Our reputation for delivery remains intact, and the sales activities and events in all units confirm the positive feelings in our target markets and our client bases. Now this concludes my remarks, so I will now ask Dennis to give you an update on LSV and the investment in new business segment. I'll then turn it over to the other business segments. Dennis?
Dennis McGonigle: Thanks, Al. Good afternoon, everyone. I will cover the first quarter results for the investments in new business segments and discuss the results of LSV asset management. During the first quarter of 2015, the investments in new business segment continued its focus principally on two areas, the ultra-high-net worth investors and the development of a web-based investment services advice offering, coupled with the use of mobile technologies. During the quarter, this segment incurred a loss of $3.6 million, which compares to a $3.1 million loss during the first quarter of 2014. There has been no material change in this segment. Regarding LSV, our earnings from LSV represent our 39.3% ownership interest during the first quarter. LSV contributed approximately $34.3 million in income to SEI during the quarter. This compares to a $32.2 million contribution for the first quarter of last year. During the quarter, asset balances grew by approximately $1.5 billion due to increased market valuation, offset by some negative cash flow. Revenue for LSV for the quarter was approximately $106 million of which approximately 5% was performance fee related. Finally, the volatile currency market had a net negative impact on our earnings of approximately $1.5 million during the quarter when compared to the fourth quarter of 2014. We estimate primarily due to the Canadian dollar, the euro and British pound’s performance against the dollar that revenue for the Company was impacted negatively by approximately $3 million, while expenses were positively impacted by approximately $1.5 million during the quarter when compared to the fourth quarter of 2014. This impact is spread across our business segments and our G&A cost. With that I'll now take any questions you may have.
Operator: [Operator Instruction] And our first question will come from the line of Chris Shutler. Please go ahead.
Chris Shutler: On the investments in new business segment, can you just talk about maybe what inning of investment you guys are in and particularly on the online advice offering? You obviously hear a lot about new offerings in that space I think pretty much every other day. So just wondering if you're offering there how it's unique and any more details on monetizing it? Thanks.
Dennis McGonigle: Yes I’d say we're still in fairly early stages of development of that new capability. And there is a number of factors to it and we focused mostly on the client experience of goal setting. As you know we are very goals based oriented across the firm and we apply goals based investing and the setting of goals and then the implementation of portfolios against those goals in all of our asset management units. And with goal investor which is the name and what we've named this capability. And we have really focused our early stage activities against that process. We see ourselves kind of as we go forward doing some now back end testing to see if that experience would actually lead to an investor potentially using a platform or using that capability to invest. And that’s very early stage and I’d say very elementary in the testing mode. And then we at SEI would have to decide ultimately how to take that capability dependent upon the results of our market testing to determine how to apply. And we see ourselves potentially applying it alongside of our existing capabilities and potentially the Advisor business and the Banking business whether or not we do something with its standalone I'd say is a to be determined.
Operator: [Operator Instructions] Next question will come from the line of Robert Lee. Please go ahead.
Robert Lee: So a simple question is on the LSV. Could you just quantify the outflows of it?
Dennis McGonigle: Yes, they had a -- their negative cash flow is about 700 million and it was entirely rebalancing.
Operator: Thank you and we have no additional questions at this time.
Al West: Thank you. I'm now going to turn it over to Joe Ujobai to discuss our Private Banking segment. Joe?
Joe Ujobai: Great. Thank you Al as a financial update quarterly revenue of $111 million was up 6% from the year ago quarter and roughly flat to Q4 2014. Quarterly profit was $12 million compared to $5 million in the year ago quarter and also roughly flat to Q4 2014. Given 25% of the Banking revenue is from outside the U.S. this segment has been impacted by currency exchange. For the quarter, the estimated negative revenue impact of more than $2 million had a negative profit impact of almost $900,000 compared to Q4 2014. Q1 was also impacted by lower transaction-related revenue from brokerage and mutual fund trading programs. Turning to new business, net sales events for the quarter were 13.2 million of which $2.7 million is recurring investment processing revenue, 3.7 million recurring asset management distribution revenue and 6.8 million non-recurring investment processing related professional services fees. During the quarter, we recognized revenue for approximately one-third of the professional services sales event. The remainder should be recognized over the course of this year. In our investment processing businesses, in the U.S. we continue our focus on capturing a large bank client. We are making progress towards this goal, as I mentioned on previous calls, in certain cases we're able to enter into professional services agreements as we work through the discovery process and planning phases. We are also targeting select mid-sized SWP prospects. Early in the quarter, we signed a community bank with a full suite of SWP services. This is a new client to SEI and we expect to convert this client by the fall. During the quarter, we successfully launched our SWP Consulting and Certification program to provide third-party consultants including large national and global firms, the knowledge and expertise necessary to advise wealth management firms as they seek to transform their business to recognize the value of SWP. In the U.S. the current revenue backlog of sold but not yet installed clients is $5.7 million. Turning to the UK, as we regain sales momentum we are also focused on growing current SWP clients. As we've discussed in the past, the SWP business model is aligned to our clients’ success. As they grow so will we. Assets from current clients continue to grow. Net cash flow to SWP during the quarter was $1.1 billion and assets under administration now total $35 billion. In our asset management distribution business for the quarter net cash flow was over $700 million with assets under management now totaling $19.2 billion. In conclusion we are making steady progress towards securing a large bank early adopter client, and we are only focused on growing our current clients and managing expense, any questions?
Operator: [Operator instructions] Our first question will come from the line of Robert Lee. Please go ahead.
Robert Lee: Quick question and I apologize I think I missed the brief part of your comments, but I think you mentioned that there was a mid-sized advisory client in the U.S. that do you expect it to bring and board layers this year did I understand that currently or? 
Joe Ujobai: Yes we assigned it early in the first quarter, community bank which would be sort of a mid-sized target for us and we would expect to convert them by the fall.
Robert Lee: And Joe I guess the large amount of kind of one-time professional fees and given your comments about sometimes you get hired for those, when you are working on may be some large potential clients, I guess I am just going to put two and two together and assume that most of that is being driven by your pipeline of prospects the one-time fees [Multiple Speakers].
Joe Ujobai: The majority is coming from the pipeline of jumbo SWP clients, but there is some one-time opportunity there from the current clients but the majority is coming from the pipeline.
Robert Lee: And just if you may give us some color on kind of how you are thinking about over the course of this year, expense may be margins the -- obviously you are focused on controlling expenses and margin has been kind of more stable last two quarters but assuming you get some least moderate revenue growth and are you expecting just year-over-year continued progress on margin improvement or sequentially, how should we think about [Multiple Speakers]?
Joe Ujobai: Yes I think they will be modest we are aiming towards modest margin improvement. As I said there before once we sign some jumbos expense may not equally tie up to revenue recognition quarter-by-quarter to know we are really focused on three things. Securing a jumbo contract and beginning conversion of some bigger clients trying to drive as much short to mid-term revenue as we can from our current clients and monitoring our expense and during that process we would expect to show some modest improvement. But again that could be impacted by the expenses associated with signing and delivering a jumbo.
Robert Lee: And may be one last question to just indulge me, so just how you would define kind of just to give you some idea that you would define jumbo versus mid-sized from kind of in revenue perspective is the jumbo kind of a 5 million plus 10 million plus how should we be sizing that?
Joe Ujobai: I think we've said in the past that jumbos are more than 5 million. But again we're trying to really drive scale and growth of the platform. So we have targeted firms that are bigger than that. And that’s what is really making up a decent amount of the pipeline opportunity. And it also again from also I mentioned at a question earlier about revenue growth we also have certainly an effort around driving our asset management distribution business which again I would expect will grow over the course of the year. And up contribute to improvements in profitability.
Operator: Thank you. Our next question will come from the line of Chris Donat. Please go ahead.
Chris Donat: Just wanted to see if you could comment a little bit about the -- if we can parse out the margins between the asset management distribution and sort of the rest of private banks. Can you say a little bit there since the asset management distribution is about 25% of revenue or sorry I guess didn’t quantify at this time but I'm assuming it's about 25% of revenue?
Joe Ujobai: I mean I think directionally we've said in the past that the TRUST 3000 business which is still is commencing a part of our revenue continues to enjoy pretty significant margins in the mid to high 30s. We've said that the asset management business inside an AMD or inside a banking that we call asset management distribution or AMD doesn’t necessarily have the margin as some of our other asset management business throughout because we just don’t have as much scale yet inside of banking. And as you know though and SWP obviously is where we're investing a lot of our money. So there isn’t obviously any margin contribution there at all that impacts the margin negatively.
Chris Donat: But just like on AMD as it scales you expect margin expansion there from that?
Joe Ujobai: Yes absolutely, these are generally large distribution contracts and so somewhat different than Wayne’s business. But yes we would expect that that scale is for that we do some positive contribution from that market.
Operator: Your next question will come from the line of Glenn Greene. Please go ahead.
Glenn Greene: A few questions the first one just a couple number of questions. Can you disclose or tell us the AUA in the U.S. for SWP I know you gave us the UK?
Joe Ujobai: Yes, there is only five clients installed so we think it's pretty small at this point still so we are just closing that at this point.
Glenn Greene: And just to clarify the professional services fees in the quarter you recognized directionally a third of it. Is that what you said?
Joe Ujobai: About a third of it yes we recognized this revenue because we've done the work and the -- it is contracted to be done over the course of the rest of the year.
Glenn Greene: And is it the kind of thing where in somewhere to the June quarter last year where the expenses were recognized in prior quarters or just trying to get a sense for the margin impact from the reorganization of that revenue in the quarter?
Joe Ujobai: No I mean last year it was one of the first times that we had entered in a professional services agreement with a large prospect. And so we really weighted to recognize that revenue until we actually received it. In this case it's sort of more traditional that we will talk about a sales event and that we will recognize the revenue in the expense as we actually provide the services to the prospects or the clients.
Glenn Greene: So it is fair to say that the revenue on this was somewhat margin dilutive?
Joe Ujobai: Yes, no not really, so we did some work in the first quarter which had revenue and expense associated with it. And we'll do some more work over the course of the year that will have both revenue and some profitability impact for us.
Glenn Greene: Were these like multiple prospects that you were doing professional services fees and work it or it is just sort of like one jumbo?
Joe Ujobai: It's a couple so it's a couple of firms.
Glenn Greene: And then finally related to the AMD part of the business anyway to frame how fast that business grew in the quarter what proportion of the segment it now is?
Joe Ujobai: Well I mentioned that we had net cash flows about $700 million that was up over the fourth quarter of last year. And asset management is roughly about a third of our business from a revenue standpoint.
Operator: Thank you. [Operator Instructions] Our next question will come from the line of Chris Shutler. Please go ahead.
Chris Shutler: So first just wondering the outlook for the CapEx on SWP the capitalized cost, I know you were at I think 39 million or so in 2013 that trended down a little bit last year at 34. Now I think I heard it was about 7 million in Q1. So is that a trend and so how should we be looking at the capitalized cost over the next few years? And then on the amortized piece of previously developed SWP cost. When should we be thinking about that beginning to plateau?
Joe Ujobai: Kathy or Dennis typically answers these questions because we look at these more at a corporate level. So I can turn this over to Dennis.
Dennis McGonigle: I mean it is safe to say that capitalization is trending down from prior years and we would expect that to continue, as it relates to amortization I won't say we’re at peak yet now that will take a little bit time because we still as we build things and capitalize portion of that build when we bring those items into service it adds to the amortization expense. And as you also know we have about seven years left in terms of the remaining life of the asset, they knew we add to the asset and begin to amortize it assumes the remaining life. So I don't think we would let’s say bring in the service today that we've to capitalize would assume the remaining seven year life. We’re not quite at peak and I would say that will happen in a couple of years. But it won't be significant than now and then.
Chris Shutler: And then Joe just one other one, as you guys talk to larger bank prospects what are the key functions that you think those banks are likely to want to move from in-house to outsource with SEI?
Joe Ujobai: Well I think at the largest banks you’re talking about back and middle office legacy systems that are expensive to maintain and don’t necessarily meet the needs of their clients or their advisors. And so the largest banks you see are focused on the back towards the front, the mid-sized banks like the one I mentioned earlier today that they will consume the whole suite of services from us. Now in some cases some banks have tried to build some of those finance services and haven't been particularly successful so there is some consideration of front-end capabilities too.
Operator: And there are no additional questions at this time.
Al West: Thank you, Joe. And our next segment is Investment Advisors. Wayne Withrow will cover this segment. Wayne?
Wayne Withrow: Thank you, Al. During the first quarter we continued good cash flow momentum and had a very solid quarter of new advisor recruiting. Assets under management were $48.9 billion at March 31st, a 14% improvement from a year ago. During the quarter, we had almost $1 billion of positive net cash flow. Revenues for the quarter were $74 million this compared to $66.4 million for the first quarter of last year an increase of 11%. Net cash flow was the largest driver of revenue growth aided by market depreciation. Expenses for the quarter increased from the first quarter of last year, primarily due to an increased direct cost and personnel cost associated with our asset growth and increased expenses associated with the SEI Wealth Platform. On the new business front we signed 195 new advisors. This is a new quarterly record. Our pipeline of prospects remains very strong. Moving on to the status of the SEI Wealth Platform, we continue to implement the learnings from our previous conversions and on the middle of planning a large conversion on October 31st of this year. After this conversion we will begin looking for new revenue opportunities enabled by the platform. In summary net cash flow and new advisor recruiting were very positive for the quarter. Momentum remained strong and we continue to make progress on the Wealth Platform. I now welcome any questions you may have.
Operator: [Operator Instructions] Our first question will come from Robert Lee. Please go ahead.
Robert Lee: Two questions, first and I apologize I seem to keep missing things today. Did you comment on kind of what the net cash flows were?
Wayne Withrow: Yes we had almost $1 billion net.
Robert Lee: And then I am just kind of curious the DOL proposal and about a fiduciary standard for retirement accounts and the SEC looking at to acting at some point. So how are you thinking about that the impact on your business? And you might presume to be a good thing. But how do you think maybe it changes advisor demand for what you do or maybe just kind of getting the sense of how you think, how you take it for your business?
Wayne Withrow: It obviously depends how this whole thing the final rules shake out, but one thing to keep in mind is all of our clients are fee-based advisors. So as opposed commission-based advisors, so anything regulation in that front tends to favor fee-based advisors as opposed to commission-based advisors.
Operator: Thank you. Our next question will come from the line of Chris Donat. Please go ahead.
Chris Donat: Just wanted to ask on the record number of advisors, what do you think is driving that, is that where you stand now with SWP is that helping convert or have you been making more of a sales effort or is there something in the advisor world that is causing them to flock to you right now?
Wayne Withrow: I couldn't point to one single factor I think the SEI Wealth Platform is definitely a contributor I think we have expanded the sales force over the past couple of years and that is really starting to get a lot more attraction I just think and I think the environment is a little bit better so I can’t contribute it to one cause that I think is, a lot of singles and doubles along the way.
Chris Donat: And then on you made a comment that cost for SWP rose is that something that will continue to rise like your share of some of the amortization as more assets get put on from your segment or is there something else going on there?
Wayne Withrow: I think we implement a lot of learnings from the client in previously converted and the increase is spending on a platform I think we are trying to make it more robust. And we will try and capture the increase revenue opportunities and we will invest where we need to invest through that.
Chris Donat: Okay. So, this is more of an investment spending from your side on SWP.
Wayne Withrow: Yes.
Operator: Thank you. Your next question will come from the line of Chris Shutler. Please go ahead.
Chris Shutler: So, first on the Halloween conversion I guess you talked about for later this year just wondering what percentage of the advisor base is going to be on SWP after that?
Wayne Withrow: We haven't told everyone else that we are converting we haven’t told them yet so I will sort of maybe I wait till next quarter to tell you that you will probably more than doubling the amount of assets we have in the platform.
Chris Shutler: And then the fee rate tick down I think about 1 basis point in the quarter anything to call out there and just wondering how you are feeling about fees in general do you expect stability from here or is there any reason to believe you could see fees increase or decrease by a few basis points between now and the end of the year?
Wayne Withrow: Yes I don’t think there is much variation with this quarter-over-quarter I think they actually went up a little bit didn’t they?
Chris Shutler: I might be wrong I might be have the wrong math in front of me. I apologize.
Dennis McGonigle: Yes of course it did.
Chris Shutler: Yes I might be wrong I might have the wrong math in front of me I apologize.
Wayne Withrow: Yes I think of course the first thing went up I think first the first thing went down a little bit if you remember we had to do reductions we did in the fourth quarter that we talked about but they are not going to affect sequential comparisons past the fourth quarter of last year.
Operator: Thank you. [Operator Instructions] And we have no additional questions at this time.
Al West: Thank you, Wayne. And our next segment is the Institutional Investors segment. Now I'm going to turn it over to Ed Loughlin to discuss this segment.
Ed Loughlin: Yes. Thanks, Al and good afternoon everyone. As usual I'm going to start with the financials for the quarter and then discuss sales activity. Revenues was $72 million for the first quarter increased 7% compared to the year ago period. New client funding and market appreciation contributed to the increased revenues. Quarterly profits of $38 million increased 11% compared to the first quarter of 2014. Margins increased to 32% for the first quarter. Assets balances increased by $5.7 billion during the last 12 months approaching $78 billion on March 31st. Net new client assets funded during the quarter to $1.9 billion and the backlog of committed but unfunded assets at quarter end was $1.7 billion. First quarter sales totaled $2 billion our continued sales growth is consistent with the increasing market demand for outsource investment providers. We do assume to do share responsibility and investment discretion on behalf of the clients. SEI’s 20 year track-record, rich resource model and large global client base of fiduciary management relationships positions us well to continue to grow our Institutional business and we remain optimistic about the growth opportunities for this segment. Thank you very much and I'm happy to entertain any questions you may have.
Operator: Thank you. [Operator Instructions] Our first question will come from the line of Glenn Greene. Please go ahead.
Glenn Greene: Maybe just give us an update on the DC opportunity what kind of traction you are getting there is it still really early?
Ed Loughlin: Sure we have a lot of focus there is a lot of energy on the DC opportunity and I think we're getting positive reinforcement out in the marketplace and growing a pipeline of nice opportunities so we're encouraged.
Glenn Greene: And then just some of the company core base business the sales of 2 billion seems pretty solid quarter maybe just sort of commentary on sort of the sales activity broadly on pipeline activity going forward, kind of how you are feeling?
Ed Loughlin: Yes I mean, we continue to execute and surprise all of our different programs, with lead generation and the pipeline is solid, I think it's going to continue to support the growth that we're expecting and we are planning.
Glenn Greene: And then just lastly the margin uptick of almost 200 basis points Q-to-Q and I don't know if it's a new record but certainly a very high number was there anything unusual in the quarter or would you sort of be tempering our expectations going forward?
Ed Loughlin: Well I guess that was unusual as you got to it before Chris Donat. So that’s unusual no I mean I think that the margins are pretty sensitive to little changes. So I think as the quarter as the year goes by you will continue to see increased sales expense because we ranched up our sales expectations quarter-by-quarter that’s how the plan is kind of built. So those costs clearly impact the margins. One point I should note on the sales for this quarter is that the $2 billion of sales it was one large client in there and that large client would be one of these clients where the advisory fee would be separate from the asset management costs or the money management fees. So I wouldn’t look at that and say that the 35 basis points kind of a revenue calculation. I can’t give you a lot more guidance because again these deal especially the larger ones kind of happen in two tranches. We understand what the public market fee would be kind of in revenue day one but we don’t always understand the opportunity for the alternatives because that doesn’t happen. So we have to do the asset allocation the goal setting work. So it’s kind a premature to give you an exact sense of that revenue would be. It would be less than you normally would have in your model.
Operator: Our next question will come from the line of Chris Donat. Please go ahead.
Chris Donat: I got nothing Glenn asked the question. You answered it.
Operator: Thank you. Then we will move on to the line of Chris Shutler. Please go ahead.
Chris Shutler: Just wondering to what extent you're seeing opportunities with organizations like the outsource kind of their whole operation versus may be the certain fleets say for example alternatives. And then maybe if you could just touch on what you're doing in the alternatives area seen some hires recently and just where you stand from a capabilities perspective versus where you want to be?
Ed Loughlin: Sure, well we really started our business since as far as we're going after a full complete outsource for a plant. We saw that at the most value wise for us. So if you were to look at our revenue base and our client base I would say that 95% to may be 97% maybe even higher number. It's really kind of a full outsource and by that I mean the client hires us we become their advisor we give them advice. We implement that advice okay and we do all the, if you will the administration the trust cuts being that type of work for them. So our value proposition has always been along those particular lines. Certainly as the marketplace has gotten more invested and more sophisticated in the alternatives space we've continued to add that as other asset capabilities for our clients, so we could pretty much at full range of alternatives that we have several different hedge funds we have several products that would be like a structured credit very focused kinds of opportunities, we have real estate, we have private equity. So we have a pretty full spectrum of an offering there for our clients.
Operator: Thank you. [Operator Instructions] Our next question will come from line of Robert Lee. Please go ahead.
Robert Lee: So keeping it by a theme of I guess missing bits and pieces here or there. What was the net client fundings in the quarter and any color you can give behind now like how much may have been as you kind of describe with the sales events kind of the advisory versus assets. I'm just trying to get a sense of the breakdown?
Ed Loughlin: Yes the funding for last quarter is $1.9 billion and so for us the bulk of that I believe let me just check would probably be in part of the traditional kind of a bundle type of an approach, yes I think we are okay, yes. That is accurate.
Operator: Thank you. And we have no additional questions at this time.
Al West: Our final segment today is Investment Managers. And I'm going to turn it over to Steve Meyer to discuss this segment. Steve?
Steve Meyer: Thanks Al, good afternoon everyone. For the first quarter of 2015 revenues for the segment totaled $65.4 million which was $4.4 million or 7.1% higher than our revenue in the first quarter of last year. This increase in revenue was primarily due to increase in our asset balances along with new client fundings in the alternative market. Our quarterly profit for this segment of $24.7 million was approximately $2.9 million or 13.4% higher than the first quarter of 2014. This increase in profit was largely due to the increase in our revenue for the quarter offset by an increase in our ongoing operational and personnel expenses. Third-party asset balances at the end of the first quarter of 2015 were $372.1 billion approximately $16.2 billion or 4.6% higher as compared to our asset balances at the end of the fourth quarter 2014. The increase in assets was primarily due to net positive cash flows of $15.4 billion enhanced by market appreciation of $800,000. And turning to market activities during the first quarter of 2015 we had another strong sales quarter. Net new business sales events totaled $8 million in annualized revenue during the quarter. Overall, we continue to execute on our growth strategy and see strong market acceptance of our solutions and value proposition, while the market is more competitive than ever we continue to focus our efforts and investments on the emerging needs of our clients and prospects. Middle office, global compliance and regulatory needs, risk management, data services and robust technology continue to drive demand in the market. Managers are in need of a comprehensive platform for their business. To that end we will continue to invest in our solutions and operations as we see continued growth opportunity for our business. That concludes my prepared remarks and I will now turn it over for any questions you may have.
Operator: Thank you. [Operator Instructions] Our first question will come from the line of Chris Donat. Please go ahead.
Chris Donat: Just on your margins at 38% it's high as it has been in the last few years, anything interesting going on there because if I look at your incremental margins like in the last over the last year for every dollar you have added a revenue that’s been $0.67 of profit on that it is how high can we expect these margins to go for you in this environment or is there something that you need to be spending on in the future?
Steve Meyer: Chris you never disappoint me, you have always launched a margin question. So the margin that we've talked about this before I feel comfortable saying that the margin we feel is sustainable in kind of that mid-30% range I think the reason we've seen a little bit of a uptick in the margin is our fundings has picked up a little bit and as we've talked over the years as we go to larger clients I think we’re achieving a little bit more scale. I think also some of our investments that we had planned last year while we’re still investing we might not invested as much as we had planned to, but when I say as certainly this year we have a plan to continue to invest we’re building out several new solutions so while 38 is a good number and we’re always looking for ways to scale. I wouldn’t be surprised if that’s a little choppy quarter-to-quarter as we uptick investment.
Chris Donat: And on the revenue side as I look at through the growth for the last year or two, can you give us a roughly sense of how much is from the existing clients and how much is from new?
Steve Meyer: Well if I look at last year time I will talk in terms of new events. At least last year we actually led the way with new names but it was prime the around 60-40 in total, new names versus standing client share or existing valve share. If I look at the Q1 sales results it actually flip flopped and 60% came from expanding our existing valve share with clients and 40% were new names. The good news is we have a strong pipeline those of new prospects, new names, non-SEI clients as well as additional services and solutions with existing clients. So I am expecting strong growth from both.
Operator: Thank you. Our next question will come from the line of Robert Lee. Please go ahead.
Robert Lee: I guess my question is maybe this isn't the best way to think about revenues, but if I look at kind of the year-over-year revenue growth and this probably doesn’t fully reflect what you took on board in the first quarter. But year-over-year revenue growth in the segment I guess is around 7% or so. And if I look at the growth in the underlying assets you are administering that’s been growing at a low-teens rate I guess. So I guess historically it kind of throws us in the context of revenues per average asset. But is that maybe not the right way to look at it, because if I look at that overtime that’s pretty fairly trending downwards. So maybe that’s just a reflection of larger clients or how should we be thinking of that? And any reason to think that that trend won't continue?
Steve Meyer: Well I would say there is couple of things. One, we've a diverse portfolio solutions and clients. So while on a traditional side we might bring in a less complex mutual fund or collective fund and the processing around that, obviously the revenue is associated with that is on the lower side. Versus a more complex full service middle office alternative client, so it really depends on the mix of clients we bring in. But what I would say is with especially the assets, some of the services we do the assets somewhat outweigh, the revenue gets sequined or lower level services or maybe back office or limited middle office versus larger asset pools. So that might be having a little bit of dilutive effect. What I do see is as we’re going forward, and even with some of the larger while there are larger managers and larger assets we’re seeing some complexities to them. So I would expect for that number to normalize and even out over the next 12 to 16 months.
Operator: Thank you. Our next question will come from the line of Glenn Greene. Please go ahead.
Glenn Greene: Good. Actually I have a very similar question on Rob. So, if I sort of but looking at it different way so if revenue growth is 7% this quarters it was roughly 8% last quarter. Looking at your sales events, which call it $35 million each of the last two years and directionally on pace for similar, this year at least for the first quarter on a base business of $250 million the sales events if you are seeing in recent quarters would suggest faster revenue growth that you are seeing your sales numbers last year were like 14%-15% base of your total base of business and may be now we are seeing 7%-8% revenue growth. So, I've got a disconnect on the?
Steve Meyer: Well that's assuming that if I sell everything it funds and gets installed within a year, which it does not. So, as a matter of fact it's we have talked about the longer sales cycle, so while the sales cycles are long and can take anywhere from 12 to 16 months then especially as you go upstream we have larger complex organizations the parallel period the time it takes to implement and usually it's chunked up into different phases, that takes a longer period to come in. So, the piece you are probably missing is our backlogs which are sales that we have had that have not funded yet, that are not driving revenue yet.
Glenn Greene: Okay is that how figure you can sort of disclose us or tell us the trends on?
Steve Meyer: Yes I think right now that is I don't have the exact number in front of me, but it's hovering and it's been consistently hovering it's around I think right now around $32 million.
Glenn Greene: Okay. I guess big picture it’s the conversion timelines are taking somewhat longer, all else equal. And I know you did maybe 18 to 24 months ago.
Steve Meyer: Yes [Multiple Speakers].
Glenn Greene: So, it's more complex deals that you are winning?
Steve Meyer: Yes, Glenn. I think that one of the phenomena, we've seen and we had a little bit of it in first quarter, while we actually had pretty decent fundings in Q1, we also had a number of funds whether they would be in the private equity realm, which were after draw down stage, so they went away or some liquidation some funds that were not growing maybe the management decided a different strategy for to return the investments back to the shareholders, as we did have an uptick in those, which I think muted Q1 a little bit.
Operator: Thank you. [Operator Instructions] Our next question will come from the line of Chris Shutler. Please go ahead.
Chris Shutler: So, I just missed the comment you made on the $32 million, what was that again?
Steve Meyer: Backlog, so, there are deals that we sold and have not yet funded.
Chris Shutler: Okay, perfect. And then just one bigger picture question Steve, you talked on the last call about I think SEI being one of the fund administrators that you feel is really focused on enabling technology then being on the leading edge for clients compared to I think you said some more commodity type accounting players. Can you maybe just give us a few examples of what you mean by enabling technologies in the ways that you do think that you differentiate yourself from some of the bigger peers?
Steve Meyer: Yes, sure. We will probably get into this a little bit more during our Investor Day, but in the past people just focused on providing a backlog for middle office operational solution and what we really see now is the need especially it has become much more competitive for investment managers, they really need a comprehensive platform a technology platform that not only provides them reporting and information around their portfolios, their back office, their middle office, their clients, but really data and analytics around their business trends around their business and certainly around the compliance and regulatory issues and we've been investing pretty steadily over the past several years at least the past four to five years in building out that technology, so they have one seamless platform, powered by a very detailed and comprehensive dashboard, that gives them the look into their business, that really sits on top of everything we do the underlying operational back office middle office processing. So, at 60,000 feet that is kind of a general overview of what we're investing it in, where we think the differentiator is.
Operator: Thank you. [Operator Instructions] And we have no additional questions at this time.
Al West: Thank you, Steve. I would now like Kathy Heilig to give you a few company-wide statistics. Kathy?
Kathy Heilig: Thanks, Al. Good afternoon everyone. I have some additional corporate information about this quarter. First quarter of 2015 cash flow from operations was 77.9 million or $0.46 per share our first quarter free cash flow was 62.5 million or $0.37 per share and first quarter capital expenditures excluding the capitalized software was $7.4 million and we project that the remaining our capital expenditures again excluding capitalized software would be around 19 million. Our tax rate was 35.4% for the first quarter and that's fairly in line with our expectation of what the annual tax rate will be. Also we would like to remind you that many of our comments are forward-looking statements and are based upon assumptions that involve risks and that the financial information presented in our release and on this call is unaudited. Future revenues and income could differ from expected results. We have no obligation to publicly update or correct any statements herein as a result of future development. You should refer to our periodic SEC filings for a description of various risks and uncertainties that could affect our future financial results. And now please feel free to ask any other further questions that you may have.
Operator: Thank you. [Operator Instructions] And we have no additional, well actually we do have a question on line from Michael Lipper. Please go ahead.
Michael Lipper: Kathy you are probably the absolute worst person to answer this but I looked across all of your segments and collective funds seem to be flat to down is there anything that you can do that would excite that market?
Al West: I mean generally our collected fund services are really more admin oriented not asset management focus in terms of our selling as part of our asset management solution, but we do use a collective fund structure to rationalize our services but the collected fund line item in our on that one schedule in the earnings release is really more to the administrative services. So I guess we would like nothing more than it would be great if the, those were clients of ours on the investment management services side grew their business on the collective side because that would enhance our service offering but we are not really focused directly on the collective structure as a market per se.
Michael Lipper: So you don't see anything that will generally excite that market?
Al West: No we wouldn’t even view it as a market per se we would view it as a product structure that wraps around asset management capabilities that is saleable to particularly the Institutional space.
Operator: Thank you and we have no additional questions at this time.
Al West: Thank you, guys. So, everybody in summary we feel the first quarter of 2015 was a solid quarter created by concentrating our efforts on maintaining highly satisfied clients and growing new business events, and drilling costs and investing in projects that are critical to our future. So looking ahead we tend to keep our focus on long-term growth in revenue and profits. So, that concludes all of our remarks today is there, I will give you one more chance to ask any questions you may have.
Operator: [Operator Instructions] We have no additional questions at this time.
Al West: Well. Thank you all for joining us today and have a good afternoon. Thanks a lot.